Operator: Good morning, ladies and gentlemen, and welcome to the PCTEL Second Quarter 2022 Earnings Release Conference Call. At this time all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. As a reminder, this conference is being recorded. I will now turn the call over to Kevin McGowan (sic) [Matt Glover], the company's CFO. Kevin, the floor is yours.
Matt Glover: Thank you, Jenny. This is Matt Glover from Gateway Investor Relations. Thank you, and good morning. Welcome to HCI Group's second quarter 2022 earnings call. On today's call is Karin Coleman, HCI's Chief Operating Officer; Mark Harmsworth's, HCI's Chief Financial Officer; and Paresh Patel, HCI's Chairman and Chief Executive Officer. Following Karin's opening remarks, Mark will review our financial performance for the second quarter of 2022 and then Paresh will provide an operational outlook. To access today's webcast, please visit the Investor Information section of our corporate website at hcigroup.com. Before we begin, I'd like to take the opportunity to remind our listeners that today's presentation and responses to questions may contain forward-looking statements made pursuant to the Private Securities Litigation Reform Act of 1995. Words such as anticipate, estimate, expect, intend, plan and project and other similar words and expressions are intended to signify forward-looking statements. Forward-looking statements are not guarantees of future results and conditions but rather are subject to various risks and uncertainties. Some of these risks and uncertainties are identified in the Company's filings with the Securities and Exchange Commission. Should any risks or uncertainties develop into actual events, these developments should have material adverse effects on the Company's business, financial conditions and results of operations. HCI Group disclaims all the obligations to update any forward-looking statements. Now with that, I'd like to turn the call over to Karin Coleman, Chief Operating Officer. Karin?
Karin Coleman: Thank you, and good morning, everyone. The second quarter of 2022 marked another quarter of growth. Our insurance division gross premiums earning were up 30%, and our national expansion continues with premium outside of Florida approaching a quarter of our business. There were two main items that impacted our financial results. First, investment income with unrealized losses were impacted by market declines, and second, we strengthened reserves in response to inflation and litigation. These two items resulted in an $8.5 million loss for the quarter. And strengthening reserves resulted in a 7% increase to our loss ratio. To offset this, we filed meaningful rate increases, 10% at Homeowners Choice, and 12% at TypTap. We also executed on a number of key items this quarter. First, we raised more than $170 million through issuance of convertible notes, increasing our flexibility at a time when capital is scarce across our industry. Paresh will speak more to this in his remarks. Second, we finalized our reinsurance with pricing in terms comparable to last year, while maintaining a conservative program with modest retentions and substantial limits. With reinsurance in place, Demotech reaffirmed our A exceptional ratings at both Homeowners Choice and TypTap. And third, we continue to optimize our balance sheet, repositioning our investment portfolio to generate income. Finally, we remain committed to returning capital to shareholders through dividends and share repurchases and continue to view our stock as an attractive investment. During the quarter, we repurchased shares representing approximately 10% of the company, and we paid a dividend of $0.40 per share, our 47th consecutive quarterly dividend. In summary, we continue to position HCI to take advantage of the opportunities in front of us, while managing the business to maximize shareholder returns - return for our shareholders. And now I'll return it - I'll turn it over to Mark, who will provide more detail on our financial results. Mark?
Mark Harmsworth: Thanks, Karin. In the second quarter last year, net income was $3.8 million. In the second quarter of this year, we had a net loss of $8.5 million. Half of that change came from realized and unrealized changes in the value of equities in our investment portfolio as the overall market declined more than 16% in the quarter. The balance of the difference came from a higher loss ratio, which increased from 40.1% to 47.9%. There were three reasons for the increase. First, business mix simply relates to premium growth coming from lines with a higher loss ratio. The second reason with inflation, which resulted in this making higher current period loss selection. The third factor was adjustments we made some prior period loss selections for inflation and some adverse litigation development. We continue to build reserves by expensing more than we are paying out in claims. In the first six months of this year, non-cat claims paid were $30 million less than what we expensed. There were also a number of positive trends this quarter. First, the company continues to grow. Gross premiums earned were up 30% over the same quarter last year. Second, as Karin mentioned, we completed our reinsurance program for the new treaty year. Our Net Premiums ceded assuming no storms are expected to be $245 million for the treaty year that started June 1, and we expect reinsurance as a percentage of premiums to continue to be lower this year than last. Third, policy acquisition expenses as a percentage of gross premiums earned were coming down because TypTap is paying lower commissions. Fourth, investment income is going up. We kept cash on hand, waiting for the interest rate environment to improve, and it has. So far this year, we have bought over $350 million of short duration, fixed-term securities. And as a result, investment income is increasing. Lastly, we are continuing to adjust rates to compensate for inflation. As Karin mentioned, in August, we implemented rate increases for Florida homeowners in both TypTap and Homeowners Choice and as these higher rates are earned, we expect the loss ratio to start to improve. There have been a number of favorable developments on the balance sheet as well. In May, we closed on a new convertible debt issue. We set out to raise $150 million and we were significantly oversubscribed. We raised gross proceeds of $172.5 million at a rate of 4.75% maturing in June of 2042. We started this year in a solid liquidity position, and that position is even stronger now. Both of our insurance companies are in strong surplus position, and we have significant dry powder at the holding company level. We have over $170 million of cash and investments at the holding company level and full access to our credit line with Fifth Third Bank. This is almost twice as much liquidity as we started the year with. Just a couple of other quick points, our share count for purposes of calculating book value per share and paying dividends is now 9,048,000. We used $67 million at the convert proceeds to buy back almost 10% of the company on a fully diluted basis. As of June 30, our fully diluted share count was 11,300,000. In conclusion, this quarter we addressed our rate needs to combat inflationary pressures, we continue to build reserves, we secured our reinsurance program and we bought back almost 10% of the company. We also significantly improved our liquidity position. We ended the quarter with close to a billion - $0.25 billion dollars of liquidity at the holding company level. The actions taken this quarter put us in a strong financial position to execute on our strategy in the future. And with that, I'll turn it over to Paresh.
Paresh Patel: Thanks, Mark. As discussed by Karin and Mark, the main items affecting HCI Group in Q2 were inflation and volatility in equity markets. We have taken corrective measures and continue to execute our business strategy with the company growing 30% year-over-year. Our national expansion beyond Florida including the UPC transaction continues as planned and the results are within expectations. However, we are aware of the turmoil in the Florida homeowners market. These pressures brought about by a combination of increased weather events, inflation and litigation, has and will continue to disrupt existing markets. This has resulted in a liquidation of some carriers this year, and leaves many others facing rating downgrades. We have a hard market and diminished competition. But our technology and our management team has shielded us from this turmoil. In fact, as a company that has successfully navigated the Florida market for 15 years, this turmoil provides a substantial opportunity. To take advantage of this opportunity, the first step was to ensure that we had ample capital, and we have completed that in Q2. In the coming weeks, we intend to apply to set up additional insurance carriers in the state of Florida. We expect these new carriers to begin writing business early next year. Why are we doing this? Basically, homeowners insurance is a product that is in high demand, and it will still be in high demand a decade from now. There is an opportunity here to pick up market share. Now, some are fearful due to present market conditions but we have a track record that lets us navigate through these market conditions. And secondly, we are focused on the long-term opportunity and intend to capitalize on that opportunity. With that, we will open for questions. Operator, please give instructions.
Operator: Thank you, sir. [Operator Instructions] Your first question is coming from Matt Carletti of JMP. Matt, please ask your question.
Matt Carletti: Yes, thanks. Good morning.
Paresh Patel: Good morning.
Matt Carletti: Paresh, I just wanted to follow up on actually that last point you brought up about planning to set up some new companies and be ready to write business next year. How should we think about that opportunity? And I guess, we think about kind of HCI as it stands today, you've got TypTap, that's kind of organic growth, the independent agents, you got Homeowners Choice, that is - has a history of being a bit more of a specialist doing book rolls and citizens take outs and things like that. How do you see that opportunity unfolding? Will these new companies look like more one versus the other, or is it too early to tell?
Paresh Patel: Matt, it's a combination. They will look very similar or hybrid of HCI - Homeowners Choice and TypTap, yet they will be different. That is why we're setting up separately. It will evolve over the coming months and we will provide more detail as a as events progress. Yes?
Matt Carletti: Okay. Probably a question for Mark. You mentioned on the kind of the upward movement in the loss ratio, the seven or eight points or so, it was a few different things kind of business mix, the impacts of inflation and prior-period development. I was hoping you might be able to break those pieces out, kind of how much of the movement relates to each one?
Mark Harmsworth: Sure. Hey, Matt. Yes, so in terms of those percentages, so the loss ratio is up about 7.8% from the second quarter of last year to the second quarter of this year. So about 1.8% of that is the mix that I mentioned. About 3.3% of that is inflation, and 2.7% is prior-year development.
Matt Carletti: Okay, very helpful. And then one last one if I could sneak it in, Mark, also a numbers question. Just what is - at June 30, what is the TypTap surplus?
Mark Harmsworth: TypTap surplus at the end of June is, just give me one second here, $90.2 million.
Matt Carletti: Wonderful. All right. Thank you very much.
Mark Harmsworth: Yes, thanks, Matt.
Operator: [Operator Instructions] Your next question is coming from Mark Hughes from Truist. Mark, please ask your question.
Mark Hughes: Yes. Thank you. Good morning. The prior-year development, was there any particular trigger for that? There is some legislative action in Florida. Was there less than a flurry of claims or was this something that's been building for some time?
Mark Harmsworth: There's a couple of things going on in there. And there is two or three sort of discrete items in there. So Homeowners Choice, there was a $2 million of adverse development in Homeowners Choice. And it related - it relates to the anchor assumption from back in 2020. So it's a couple of years back. A lot has changed since then. But if we look back at that assumption in 2020, we tweaked that loss ratio up a bit. It's largely just related to increasing our litigation picks a little bit through there. The other thing that's going on is we've got - I think we've talked about a couple of times before, but tropical storm Ada from November of 2020, pretty significant difference between the number of lawsuits that we thought we'd get off of the 1,200 or 1,300 claims that were there than expected. So we've been increasing the ultimate selection, if you will for Ada as a result of that too. So again, that's largely litigation driven. And then in TypTap, we've got a couple of accident quarters again from 2020 where we're adjusting up our litigation picks. So a lot of it, as I mentioned, litigation. So those are sort of the buckets of the adverse development. Just in terms of the litigation trends generally, litigation and that reported litigation in the second quarter of this year was significantly lower than it was in the second quarter of last year. But we do have just a few these accident quarters from 2020 that we're going back and adjusting the initial litigation pick.
Mark Hughes: And then we think about the inflation and mix impacts.
Mark Harmsworth: Yes.
Mark Hughes: What is that, about five points. Does that persist? And I guess then, maybe just diminish over time as you get these rate increases? How should we think about them?
Mark Harmsworth: Yes, good question. So assuming that - so we've got some rate increases that we mentioned, and inflation has been obviously higher than our rate increases. Assuming that the inflation - I don't think anyone is expecting prices to go down. They've gone up, but I don't think anyone is expecting they'll go down. If they stay flat, sort of stay at these elevated levels, then as the rate increases work their way into the book, I would expect the loss ratio to drop a couple of points each quarter for the next couple of quarters.
Mark Hughes: Sequentially, some improvement, and then maybe some improvement after that.
Mark Harmsworth: Yes.
Mark Hughes: A couple of points sequentially.
Mark Harmsworth: Yes, exactly. A couple of points in Q3 and Q4.
Paresh Patel: Yes, Mark, as you know the loss ratio are not immediately in the second quarter. The rate increases that we've put through, which are greater than the increase in the loss ratio will take several months to earn in. And so consequently, as that happens, the loss ratio will drop, but it will be a multi-month process, multi-quarter process.
Mark Hughes: Yes, understood. I think you've mentioned TypTap paying lower commissions. Could you talk a little bit more about that? Is that across all states, is that directed in Florida, will that continue?
Paresh Patel: Yes, Mark, we should clarify on that a little bit better. TypTap's business plan always has been that we pay higher commissions on new business crop some renewal. As more of the book renews, the blended commission rate comes down. So it's not necessary that we are reducing commissions everywhere. We may be doing that in a couple of places, but not dramatically. Most of the effects you're seeing are mainly because renewal commissions are lower than new business commissions.
Mark Hughes: Understood. So you - kind of the easing off during storm season means there is more concentration in renewals in the period, and so...
Paresh Patel: Yes, well...
Mark Hughes: We do so the involvement.
Paresh Patel: I mean, look, it's simple math in a weird way. as in a sense of the first year when you $100 million of business, it's all new business. Second year you add a $100 million of new business, half of it is renewal, half of it is new business. Third year, you add $100 million, it's $200 million of renewal business and only $100 million of new business. So the renewal rate tend to, over time, dominate the new business rates. It's a natural occurrence and predictable.
Mark Hughes: Yes. Let me ask a new question. You said - I think you've done very well historically, keeping losses under control and then substantially better than your peers. This kind of the appearance of inflation here, Florida has been - and your competitors have been undergoing some stress for a while. You've seen some of that. But why now? I think you've touched on this, but I just wanted to kind of flesh it out a little more, if there is anything else to be said, why the mix, I understand, the prior-year development mix there is, then inflation having a more of a incremental impact. 330 points is very meaningful. I'm just sort of curious why you think right now?
Paresh Patel: I think the second quarter was - moved a lot from what people were believing in April versus what people believed by at the end of June. And one of the big things was, and I'll quote, I think the Federal Reserve Chairman, a shift in belief but inflation is transitory, inflation is permanent. And if you remember Mark's earlier comments, Mark Harmsworth's earlier comment, that he is not expecting prices to come down anytime soon. So now you have a permanent - you've permanently elevated expenses. You should fill that into your business, and we have, obviously, by our actions, swiftly moved in that direction. So once we came to that conclusion that prices are not coming down, we took decisive action. We can't always predict the future, but whenever the present becomes obvious, we take corrective action, quickly and efficiently.
Mark Hughes: Fair enough. And then what's your appetite for growth in Florida once we get out of storm season? How should we think about your growth posture come Q4, for instance?
Paresh Patel: Well, therein lies the comments on the question that Mark Carletti asked earlier. Because of the turmoil in Florida, we actually see a greater opportunity at this moment in time unfolding in the fourth quarter than maybe we saw six months ago. Now, we wanted to make sure that we communicated this clearly to everybody. So TypTap Insurance Company's plans and expansion plans, that's at Florida, are going unabated, unchanged. We see an additional opportunity in Florida and that's why we are setting up new carriers to take advantage of those new opportunities.
Mark Hughes: Yes. Okay, thank you very much.
Paresh Patel: Thanks, Mark.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Paresh Patel, who has a few closing remarks.
Paresh Patel: Thanks. On behalf of the entire management team, I would like to thank our shareholders, employees, agents and most importantly, our policyholders for their continued support. While we talked about a lot of numbers, we never lose sight of the fact that our primary mission is that we are protecting our policyholders' most valuable asset, their home. With that, thank you very much, and see your next quarter.
Operator: Thank you for joining us today for our presentation. This concludes today's call. You may now disconnect.